Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the Immersion Corporation Second Quarter 2013 Conference Call. During today’s presentation all parties will be in a listen-only mode. Following the presentation the conference will be open for questions. (Operator Instructions). This conference is being recorded today, Thursday, August 1, 2013. I would now like to turn the conference over to Jennifer Jarman of The Blueshirt Group. Please go ahead, ma'am.
Jennifer Jarman : Thank you, operator. Good afternoon and thank you for joining us today on Immersion’s second quarter fiscal 2013 conference call. This call is also being broadcast live over the web and can be accessed from the Investor Relations section of the company’s website at www.immersion.com. With me on today’s call are Vic Viegas, President and CEO, and Paul Norris, CFO. During this call we may make forward-looking statements, which may include projected financial results or operating metrics, business strategies, anticipated future products, anticipated market demand or opportunities and other forward-looking topics. These statements are subject to risks, uncertainties and assumptions. Accordingly, actual results could differ materially. For a listing of the risks that could cause this please see our latest Form 10-Q filed with the SEC, as well as the factors identified in the press release we issued today after market close. Additionally, please note that during this call we may discuss non-GAAP financial measures. For each non-GAAP financial measure discussed, a presentation of the most directly comparable GAAP financial measure and a reconciliation of the differences between the non-GAAP financial measure discussed and the most directly comparable GAAP financial measure is available in today’s press release. With that said, I’ll turn the call over to Chief Executive Officer, Vic Viegas. Vic?
Victor Viegas: Thank you Jennifer and thanks everyone for joining us this afternoon. I am very pleased to report that in the second quarter of 2013 Immersion generated 10.2 million in revenues reflecting robust growth and up 58% from the year-ago period. This represent a record for Immersion, the highest second quarter revenue in the history of the company. We earned $776,000 or $0.03 per share in net income and $2.4 million of adjusted EBITDA. These strong results illustrate the scalability of our licensing business model and underscore the success we've had in establishing the value for Immersion's haptic technology and mobility in other markets. During the quarter we introduced new tools to help our developers create great haptic games and our licensees continue to launch new products showcasing our technologies and using haptic effects to communicate relevant and rich information to users. In addition we saw renewed enthusiasm for haptics in the gaming market with the announcement of new consoles from Sony and Microsoft and new peripherals coming out of the E3 conference. In a few minutes I'll discuss our recent business developments but first I will ask Paul to provide a detailed review of our second quarter financial results. Paul?
Paul F. Norris: Thanks, Vic. As Vic mentioned we had record revenues of $10.2 million in our seasonally lighter second quarter of 2013, up 58% from revenues -- compared to revenues of $6.5 million in the year-ago period. Revenues from royalties and licenses of $10.0 million were up 68% compared to royalty revenues of $5.9 million in the second quarter of 2012. While revenue mix for our line of business is expected to fluctuate on a quarterly basis due to seasonality patterns, for the second quarter of 2013, our breakdown by line of business as a percentage of total revenues was as follows: 55% from mobility, 22% from gaming, 7% from Medical and 6% from Auto. Our gaming revenues during the quarter including ongoing licensing fees as well as amounts which were secured through our royalty licensing compliance program. Gross profit was $10.1 million or 99% of revenues compared to gross profit of $6.3 million or 97% of revenues in the second quarter of 2012. Excluding cost of revenues total operating expenses were $9.3 million in the second quarter of 2013 compared to $8.6 million in the second quarter of 2012. This includes non-cash charges related to depreciation and amortization of $532,000 and stock-based compensation of $1.2 million. Litigation related expense for the quarter was $470,000. The overall increase in expenses versus the prior year quarter was driven primarily by compensation related costs including stock-based compensation, offset in part by a reduction in litigation expenses. The increase in compensation costs reflects in part a 15% year-over-year increase in sales and marketing and research and development head count as we strengthened our presence in key geographies and accelerated our development efforts on strategic initiatives. As our HTC lawsuit proceeds in the District Court in Delaware we are forecasting that expense for this litigation will be in the $1 million to $1.5 million range over the remaining six months of the year. Net income for the second quarter of 2013 was $776,000 or $0.03 per share, compared to a net loss of $2.2 million or $0.08 per share in the second quarter of 2012. As you know in addition to normal GAAP metrics we use a metric called adjusted EBITDA to track our business. We define adjusted EBITDA as earnings before interest, taxes, depreciation and amortization like share-based compensation. Adjusted EBITDA in the second quarter of 2013 was $2.4 million compared to adjusted EBITDA of negative 938,000 in the same period last year. Our cash portfolio, including cash and short term investments were $63.9 million as of June 30, 2013 compared to $64.2 million at the end of first quarter of 2013. As we recognize revenue from customer payments received in prior periods we used $3.5 million in cash in our operations which were offset by the receipt of $4.3 million in cash from stock exercises and pay-offs. While we do not repurchase any stock in second quarter management and the board remain very confident about our business fundamentals and future prospects and continue to believe that our stock is attractive in price and expect to execute opportunistically on the $19.4 million remaining under our authorized stock repurchase program. We will continue to monitor our cash balance and stock price relative to any future buyback activity. In regards to guidance we continue to expect record top line results and as we entered the second half of the year with greater visibility, we have narrowed our revenue range expectations for 2013 at $45 million to $48 million, an increase of between 40% and 49% over the last year’s revenue of $32.2 million. As a reminder that the typical seasonal pattern for our business is for our third quarter results to be roughly in-line with our second quarter followed by a strong fourth quarter as our customers' gear up for the holiday season. We continue to expect adjusted EBIDTA 2013 to be in the range of $12 million to $15 million. Based on profitability projections we are evaluating the need to continue to [arraign] a full valuation allowance for our deferred tax assets. The release of a substantial question of the valuation allowance could have significant positive impact on our reported financial results in the period of release. We expect to have better visibility at the timing of potential – once we completed our valuation. With that I’ll turn it back to Vic.
Victor Viegas: Thanks, Paul our financial performance reflects the successful execution, our basic haptics strategy and the continued success of products using Immersion's TouchSense software. As you know the strength of our IP portfolio has now been widely recognized in the mobile marketplace which has given us an opportunity to secure additional basic haptic licensing as well as the ability to charge an appropriate premium for our advanced TouchSense and Integrator software solutions. With this foundation in place we are very pleased with executing at a higher level and tracking toward a record year for revenue. Also given the current license agreements in place we believe we have good visibility and predictable revenue growth over the next 12 to 24 months. While we continue execute our double pronged IP and software licensing strategy, our new and existing licensees are advancing the haptic ecosystem by using our TouchSense software to create innovative new tactile features that enrich end user experiences. For example Samsung has used our TouchSense software to power new and unique haptic features in its recently released Galaxy S4 smartphone. Users of the (inaudible) flagship Samsung phone benefit immediately from smart alerts, touch feedbacks that let them know if they have new voice mail, text or emails all without even looking at the phone. Also when users interact with their Galaxy S4 phone using Samsung’s new gesture base air view feature they could feel reassuring TouchSense power tactile effects confirm you that they have successfully completed the desired action. This novel the Immersion technology illustrates nicely how haptics can add substantial value to cutting edge interfaces, even those that allow users they control devices without touching the screen. We are pleased and excited to see Samsung continue to innovate with Immersion Technology and tactile effect to deliver meaningful information in new and creative ways. During the quarter we also announced a new mobile licensee, Sharp Corporation. Sharp worked closely with Immersion to design touch effects to enhance the rich visual and audio experience available in Sharp’s FEEL UX the first Sharp device using Immersion haptics the Docomo AQUOS SH-06E came to market this quarter offering a tightly integrated multi model user experience and making the sense of touch an important part of Sharp’s FEEL UX brand experience. On the developer front we continues to release tools designed, simplified haptic integration and design process including a number of platform plug-ins and integrations that we announced at the, in DevCon developer comp event in Boston. We also recently released a simple Android app that displays and features our pre-programmed library of tactile effect in an animated gaming context making it earlier for developers to access these effects and decide which ones will work best in their games. We remain dedicated to supporting the developer community as it looks to use haptics to create more engaging and realistic mobile gaming experiences. Even as we advance our existing business initiatives we are diligently working to invent future through research, product development and other innovative activities designed to transform user experiences by bringing rich touch experiences and a true sense of Immersion to the digital world that now encompasses so much of our lives. As an example and as I mentioned in previous calls we strongly believe that haptics can enhance mobile media and contents. Our current focus in this area is on developing the necessary products including encoding and decoding tools, creating a significant catalog of haptically enabled content for demo and user purposes. Conducting user studies to measure and quantify the enhanced value haptics can bring to media and in deploying new resources to build and deploy the business. We continue to actively demonstrate and discuss the use of haptic with content creators, content publishers and distributors as well as hardware suppliers. We see opportunities with at least five different types of mobile content. The first is short form video ads, including movie and game trailers. The second is short form consumer premium content such as music videos and sports headlines. The third is long form consumer premium content, including movies, games, and TV shows. The fourth is user generated content. And the final is long form live sporting events. All of these opportunities accept user generated content, have content owners, creators and distributors. We have been meeting with these parties and would like to work with them to provide license rights and encoding capacity that will haptically enhance these forms of content for distribution and immersive playback on smartphones and tablets. If we can show haptically enhanced content, generate advertising premium, increase the subscription rate, influences buyer behavior or produces other quantifiable viable benefits we believe that we will be able to generate revenue directly from a content ecosystem as well as from our OEM partners. Beyond the mobile market we continue to see innovation and enthusiasm for Immersion's technology in the automotive and gaming markets. In automotive the 2014 Acura RLX, MDX models have been receiving high marks for their haptically enhanced enabled touch screen interfaces. [Edmonds.com] recently reviewed the 2014 Acura RLX and commented and I quote "using the navigation simple and intuitive, as the Acura allows you to look up destinations by the central control dial and new seven inch touch screen interface or an enhanced voice recognition system. The touch screen provides both haptic and audible feedback and our experience it helps to minimize the amount of time you spend looking away from the road". We are pleased to see reviews such as these that recognize and highlight the value of haptic in the automotive environment. On the gaming front this quarter’s industry news was dominated by the new console announcement from Sony and Microsoft, both of which incorporates haptic into their game play. Both platforms were on display at the E3 conference in June, Microsoft demonstrated a new form of haptic feedback in its Xbox 1 controller, a developer programmable trigger which takes advantage of new actuators located near the device triggers. These actuators can work in tandem with additional rumble motors located in the controller to create more meaningful and distinctive haptic effect. We look forward seeing developers take advantage of these new haptic capabilities to deliver more immersive experiences and are eager for the new Microsoft come to market and provide an opportunity for a broader ecosystem of peripherals they could leverage Immersion’s technology. Sony was also at the show to demonstrated highly anticipated Play Station 4 highlighting the console's user friendly features. In addition to representing a new peripheral opportunity the PS4 may also become additional an revenue opportunity for us if it is release with Haptic technology contemplate under our existing agreement with Sony. We will know more about both the Sony and Microsoft related opportunity as their products come to market later this year. In addition to the excitement in the console gaming market E3 also marked the announcement of the first mobile peripheral enhanced with Immersion haptics. PowerA a long time partner of us announced that its next generation game controller, the moga pro 2 will include Immersion Haptics. The moga pro 2 game controller work with selected Android games to create console like gaming experience. To enable [itself to] ecosystem a customized version of Immersion haptic [SPK] will be available moga pro 2 game developers. The mobile peripheral market is an emerging space with great energy and creativity and we look forward to partnering with innovative companies looking to advance the mobile gaming experience. Lastly as we discussed last quarter we are now pursuing our patent infringement action against HTC Corporation in the U.S. District Court where we can seek damages injunct relief and attorney fees. During the quarter HTC sought to delay the case by asking for a stay of the litigation until the resolution of patent reexamination that the PTO had initiated previously at the recent quest of HTC a process that can frequently take two to three years to complete. We’re pleased to update you that the U.S. district court denied HTC’s request to save the case. And we’re scheduled to move ahead with the trial as early as next year. To conclude my formal remarks Immersion continues to execute based on progress we have made with our existing and new licensees. We’re excited about the ongoing growth opportunities in the mobile, gaming and auto markets as Haptics continues to be embraced in evolving format and user experiences. At the same time we are working diligently to lay the foundation to further expand our market opportunities and long-term growth engine through continued innovation. With that said we’ll now open up the call for your questions. David?
Operator: Thank you, sir. (Operator Instructions) Our first question is from the line of Jeff Schreiner with Feltl & Company. Please go ahead.
Jeffrey Schreiner - Feltl & Company: Yes, good day gentlemen thank you very much for taking my questions. I guess the first question is what has changed or gives you new confidence to kind of tighten the overall guidance and why did you choose to lower the bottom end of the range and may be not expand the top end?
Victor Viegas: Sure we actually raised the bottom end so the bottom end is now 45 to 48. As I did mention in the script the current agreements that we have in place today give us some very good visibility over the next 12 to 24 months. So we have with a great deal of precision to forecast with our Q3 and Q4 and it's that confidence give us the comfort that we can raise the bottom end of the guidance. So that we’re comfortable with the guidance, we’re comfortable with the business and obviously we hope to continue to exceed expectations and deliver great growth and great results.
Jeffrey Schreiner - Feltl & Company: And a question I guess regarding your current agreements they have been revised to expand the scope of some of these agreements. What is covered by some of the agreements with your leading customers right now, is it just smartphones or are Android based tablets which these manufacturers release also falling under kind of the basic haptic functionality.
Victor Viegas: Yeah, I would say our standard agreements cover both smartphones and tablets. We don’t distinguish between the two so they are covered and as we begun increasing the number of licensees to the basic haptic technology that’s built a base of revenue that we are now enjoying. So Motorola, LG, Samsung those agreements all cover basic haptics Android like devices for smartphones and tablets. It covers and provides us revenue stream. Over the last few quarters you have seeing that benefit whereas prior to that we were not monetizing those basic haptic devices.
Jeffrey Schreiner - Feltl & Company: I guess that -- I will step out for now. Appreciate the time gentlemen.
Victor Viegas: Thanks Jeff.
Operator: Our next question is from the of Charlie Anderson with Dougherty & Company. Please go ahead.
Charlie Anderson - Dougherty & Company: Good afternoon. Thanks for taking my questions. So just a couple of housekeeping questions. I wondered if you had a 10%, any 10% customer if you could just give us the percentage of. That’s my first one.
Paul F. Norris: Yes, we had an approximately 50% customer the same as we had last quarter.
Charlie Anderson - Dougherty & Company: Perfect. And then in terms of the year-over-year growth in the R&D and then the sales and marketing would you kind of expect it to stay at those levels through the rest of the year, I notice you didn’t change anything in the guidance on profitability. So pretty steady as she goes there.
Paul F. Norris: Yes I would say steady as she goes. None of the increase is unexpected from our standpoint we are seeing opportunities as Vic mentioned in various areas, in making appropriate investments but we are doing it prudently and consistently with our plan. So I think you can expect to see OpEx gaining pretty well under control for the remainder of the year.
Charlie Anderson - Dougherty & Company: And then I think I heard you said you got maybe a royalty true up in gaming what was the extent of that?
Paul F. Norris: So Charlie we have a compliance program and have for some time and the compliance program includes verification of reports, in many cases we utilize a third party auditing firm to confirm and verify reports and shipments from our licensee. So I would say almost every quarter there is some amount of activity, there is some number of true-up activities that occur and we highlight those periodically when the number gets a reasonable percent of [any of the] growth in a year before. So during this quarter in the gaming space we had some compliance hiccups in the quarter and that’s what you are seeing and that’s what we are calling out.
Charlie Anderson - Dougherty & Company: Got it. It looks like maybe I mean just looking the historical patterns you are maybe under 1 million bucks right I mean it's not -- there wasn’t a huge?
Paul F. Norris: I think that’s a fair assumption.
Charlie Anderson - Dougherty & Company: Yeah. Okay and then one thing I noticed is that the mobility revenue on a sequential basis was down a lot more than it was a year ago. You have some of these basic haptic license so you have little bit broader coverage I feel like there might be some fixed elements of those so I was thinking that maybe we would be a little flatter in mobility than we are seeing I just wondered if you can give me any there just think about how we model this new customer group we have relative to patterns we have seen historically?
Paul F. Norris: I think as far as modeling goes the general profile or seasonality that we have had in prior year if you looked at the future period is not a bad starting point we spent a bit time talking about our revenue in first quarter and mentioned that with some of these broad expanded agreements it’s not that we had one time payments it’s not that they were loaded up on the front but there were some overlap between the expiration of older agreements and the initiations of the new agreement that give slight extra pop in the first quarter. So again going forward I would look for similar seasonality and growth.
Charlie Anderson - Dougherty & Company: Got it. Thanks so much.
Victor Viegas: Thanks Charlie.
Operator: Our next question is from the line of Paolo Gorgo with Nortia Research. Please go ahead.
Paolo Gorgo - Nortia Research: Good afternoon and thanks for taking the questions. Congratulations on the quarter.
Victor Viegas: Thank you Paolo.
Paolo Gorgo - Nortia Research: Is there comments you can make about where Immersion's IP stands as far as wearable computing?
Victor Viegas: Yes we have been actively developing solutions in the wearable space. We see a number of different key market applications. One from a medical standpoint monitoring, body functions providing appropriate alerts and so on. So we see it as an extension of medical business and as you know for quite some time we have been active in developing solutions and generating IP. In addition there is also consumer uses for sports, health monitoring productivity and those also are areas that we’ve been actively involved. So we have quite a bit of IP in the space. We have solutions that we’re developing and dialog with companies who are building such devices. So we are feeling pretty comfortable that as wearables become a part of the common user interface on daily basis that haptics will have a meeting role and that Immersion will be able to monetize that opportunity.
Paolo Gorgo - Nortia Research: And just another point really on two partners, L.G. and Motorola. Is there any comment you can make on the new just launched Motorola X phone which seems to have I read just from a report customizable haptic abilities.
Victor Viegas: We as you know have a license agreement with Motorola. It’s a basic Haptics license agreement and there isn’t too much we can specifically say about what technology they’re implementing in the new phone. I know they just did release the Moto X phone. They’ve also had basic haptic functionality in prior phones that was the reason why we involved in litigation in the first place. We have only announced a patent license agreement with them. At this point we do not have a software agreement relationship that we have discussed.
Paolo Gorgo - Nortia Research: Perfect and I was trying to understand if it is something more than just basic haptics.
Victor Viegas: I think clearly basic Haptics is covered. There is the ability to incorporate TouchSense 2000 via our licensing chip partners. So until the product is out we had a chance to examine it, it’s probably limited to two areas. We could have some advanced functionality but the current relationship is not yet at the level of TouchSense 3000.
Paolo Gorgo - Nortia Research: Okay, thanks. And just for L.G. it seems that they are executing a great come back in the smartphone sector so is there any additional color you can make? I mean if they seem to be a steady third manufacturer right now in this space?
Victor Viegas: We are very excited to see L.G. continue to succeed and grow. We have quite field application engineering team in Korea whose primary activity is to support LG as well as Samsung. And so we work with them closely on new applications, new ways to use our technology. They are an innovative company and they look utilize haptics as a way to differentiate the product. So we’re excited to see their growth. We’re happy to continue to work closely with them to innovate.
Paul F. Norris: We recently expanded our relationship with them and we’d like very much for them to include more of our high end solutions in their product. So it’s very nice they are doing well.
Paolo Gorgo - Nortia Research: Just lastly do you think you will introduce quarterly guidance -- you mentioned this visibility into 12 to 24 months, you are only giving some kind of consolidated guidance for the company?
Victor Viegas: Yeah I would say at this point I do not see us providing quarterly guidance, if we do gain that kind of confidence on a quarterly basis then we’ll consider but right now I think the idea of providing annual guidance and then each quarter providing an update is the right way to our process. As I said we do have very good visibility 12 to 24 months out. But sometimes the revenue leap from one quarter. So to be as very precise in any given quarter I think we want make sure that we are giving the right level of information that is accurate. And so let’s stick to the annual guidance for now.
Paolo Gorgo - Nortia Research: Great. Thanks for taking the questions.
Victor Viegas: Thank you Paolo. Nice to talk to you.
Operator: (Operator Instructions). Our next question is from the line of James Faust with Dialectic Capital. Please go ahead.
James Faust - Dialectic Capital Management: Hey guys. Thanks for taking my question. Couple of questions one is if you could talk a little bit more about some of the studies that you have done on Reverb potentially making video content more compelling and how that feeds into your sense to kind of go out to the advertising market? And second question has to do with whether or not you guys believe for some of the next generation consoles that are going to be coming to market whether you think they will include haptic capabilities?
Victor Viegas: Sure James. On the media content opportunity as you mentioned we have done a number of studies. One, we have published, we used 33 different individuals who are provided with a series of content type with and without haptics and we measured things such as skin conductance which really measures the amount of rouse that is derived from the haptic experience and we know there is a substantial increase in the response. We measured video rating, so how an individual rates the video and we noticed that with haptic it was 10% higher. Brand sentiment, we noticed that it brought about a 5% increase in positive sentiment when we measured the likelihood of an individual to see a movie when they watch the trailer with haptics there were 15% more likely to go see the movie than if they didn’t. And then lastly on the movie sentiment and the sense of being here and emotional response it generated a 10% to 15% increase in improved response. So these are very meaningful improvements and we are continuing to develop more content and initiating substantially larger studies with not only ourselves with some partners or potential partners to measure the benefit. And as I mentioned previously in the script these kinds of differences in improvement in recognition these are significant to people who pay ad dollars and want you to consume their content. So we are very confident very pleased with the results and the direction that this is headed we made good progress on the quarter we feel very good about where we are headed into the future. In terms of next generation we thought it was terrific to see Microsoft launch a controller with triggering mechanism. It adds another dimension to game play, gives us some opportunity to work with their third party controller supplier, potentially license them and in terms of Sony PlayStation IV I think they have announced advanced [tremble] capability we haven’t yet seen the product but we are optimistic that they have haptics to provide an immersive experience. So we are very optimistic that this will yield additional revenue for Immersion.
James Faust - Dialectic Capital Management: Thanks guys.
Victor Viegas: Thanks James.
Operator: I show there are no further questions at this time. I would like to turn the conference back to management for any closing remarks.
Victor Viegas: Okay. Well great thank you everyone for being on the call with us today. We look forward to updating you again on our next quarterly call. Good day.
Operator: Ladies and gentlemen if you like to listen to a replay of today’s conference call you may dial 1800-406-7325 or 303-590-3030 and enter the access code 462-5303 followed by pound sign. Those numbers are again 1800-406-7325 or 303-590-3030 and enter the access code 4625303 followed by the pound sign. This concludes the Immersion Corporation's second quarter 2013 conference call. Thank you for your participation You may now disconnect.